Operator: Excuse me, everyone. We now have Tom Baker, CEO of FRP Holdings, Inc. in conference. [Operator Instructions] I would now like to turn this conference over to Mr. Tom Baker. Sir, you may begin.
Tom Baker: Good afternoon to you all. As mentioned, I am Tom Baker, CEO of FRP Holdings and with me are John Milton, our CFO; David deVilliers, our President; and John Klopfenstein, our Treasurer and CAO. Before we get into our results, let me caution you that any statements made on this call that relate to the future are by their nature subject to risk and uncertainties that could cause actual results and events to differ materially from those indicated in such forward-looking statements. Additional information regarding these and other risk factors and uncertainties maybe found in the company’s filings with the Securities and Exchange Commission. Revenues for the second quarter of fiscal 2016 were $9,615,000, which is an increase of $667,000 or 7.4% over last year’s second quarter. Income from continuing operations for this year’s second quarter was $1,820,000, an increase of $975,000 from last year’s second quarter. Earnings per share for this quarter are $0.18 per share. We are very pleased with the strong and improving results in our Asset Management segment and our Royalty segment produced in the second quarter and the first half of fiscal year 2016. Now, let me turn the call over to our President, David deVilliers to take us through the details of our results. David?
David deVilliers: Thank you, Tom and good day to those on the call this afternoon. I will now take you through our results for the second quarter of fiscal 2016. We enjoyed another successful quarter in both of our income producing segments and our land development and construction segment was busy further preparing certain non income producing assets for income production. The real performer in this quarter was the mining and royalty segment. Revenues were up in this year’s second quarter over last year’s second quarter by 33.2% or $443,000 to $1,778,000. The increase in tons shipped resulted in operating profits of $1,574,000, an increase of $909,000, inclusive of a $451,000 benefit from reallocation of certain overhead expenses to our other segments. Volumes have been benefited by an increase of construction activity in Florida and Georgia. Relative to the Asset Management segment, rental revenues from our building platform for the second quarter were $7,574,000, up 3.3% over last year’s second quarter. And net operating income was $5.442 million, up $347,000 or 6.8% over the same quarter last year. These positive results were mainly due to the increase in occupied square footage as a result of the completion of the build-to-suit building at Patriot Business Park in the middle of the second quarter last year and an acquisition of the Port Capital building in October 2015. We ended this quarter with total occupied square feet of 3,348,112 square feet, an increase of 149,912 square feet or 4.7% over last year’s second quarter. Occupancy at March 31 of the building platform was 90.7%, up from 88.8% for the same period last year. Relative to renewals, our success rate was 65% for the 49,000 square feet that came up during the second quarter. Relative to same-store, average occupancy remained constant at 90.7% for the quarter as compared to the same period last year, plus – with an increase in net operating income of 4% at $5,296,052 from $5,092,984 evidencing rent growth for the platform. And finally, to our Land Development and Construction segment. As I previously stated, this segment is responsible for seeking opportunistic purchases of income producing properties and managing and developing our non income-producing assets into income production. Thus, this segment generates minimal revenues, but incurs significant cost to accomplish these objectives. This segment is the main driver behind our growth. To this end, we have spent $479,000 during the second quarter on capital projects in this segment towards construction of the 79,550 square foot spec building in our Hollander Business Park scheduled for completion during the third quarter, permitting for the reconstruction of the Vulcan along the Anacostia River at our 664E property in anticipation of a future high rise, mixed use development similar to our Riverfront project located less than a mile up the river. Working with our joint venture partner on the management of the ongoing construction of Phase 1 at Riverfront, now called Dock 79 and an in-depth research into the feasibility of commencing predevelopment activities for Phase 2. Relative to the progress of Phase 1 for Dock 79, construction is on time, within budget and still on schedule for completion in the early fall of 2016. In addition during the quarter, we began the process of designing and permitting for the construction of a new 104,000 square foot spec building on one of the two remaining pad sites at our Patriot Business Park. Also during the quarter, we entered into an agreement with a substantial Baltimore development company, St. John Properties Inc., to jointly develop the remaining acreage at our Windlass Run Business Park. The 50-50 partnership calls for the combination of our 25 acres, valued at $7.5 million, with St. John Properties’ adjacent 10 acres fronting on a major state highway, valued at $3,239,536, resulting in an initial cash distribution to FRP of $2.1 million on or about the middle of May 2016. Thereafter, the venture will jointly develop the combined properties into a multi-building business park consisting of approximately 329,000 square feet of single-story office space. Land development and ultimately, construction of the first phase of vertical construction is anticipated to begin in the spring of 2017. So in summary, we had a lot of exciting new projects in the queue and I look forward to converting them into income production. In addition, we will keep pushing for higher annual average occupancies and rental rates for our existing platform, all while remaining tightly focused on building shareholder value. Thank you. And I will now turn the call back to Tom.
Tom Baker: Thank you, David. That was a very nice report. As you can see from David’s report, our business segments are performing well and his team continues to do a good job of successfully executing our strategy of turning non-income producing assets into income producing assets and finding opportunities to acquire assets at attractive valuations. Phase 1 of our apartment venture, Dock 79, in Washington has started pre-leasing activity and should see the first residents move in sometime in August. The project is on budget and looks fantastic. Today, our Board approved the construction of 104,000 square foot spec building at our Patriot Business Park in Manassas, Virginia, that we should commence construction of in this year’s third quarter for completion in the fourth quarter of fiscal 2017. We have a lot on our plate going forward, but each of these projects are exciting and will certainly create additional shareholder value. We will be glad to entertain your questions at this time.
Operator: Thank you very much. Ladies and gentlemen, at this time we would like to open the floor for questions. [Operator Instructions] Our first question will come from John Fox, Fenimore Asset Management.
John Fox: Yes. Thank you. Hello everyone.
Tom Baker: Hi John.
John Fox: I was wondering if you could tell us a little bit more about the building you acquired, which I found is interesting at Gilroy Road in Hunt Valley, Maryland and – what the story is behind that?
David deVilliers: John, we haven’t closed on that building yet. It’s still in the investigatory stage. It meets most of our hurdle rates and its right in our backyard there and we believe they will stay. So we are – we just haven’t completed the due diligence phase of that yet, so we are not prepared to give you the full details.
John Fox: Okay, that’s fine. But if I think out maybe for the rest of the fiscal year, you have got the Hollander Business Park coming on and then this acquisition, so those two would represent growth in NOI out in the future, is that fair?
David deVilliers: That would be correct, yes.
John Fox: Okay. And I know it’s very early, you just announced the JV with St. John’s. Is there a sense of the amount of capital you have to put into that JV over and above the land contribution?
David deVilliers: Right now, the projection, John, is that we will borrow with construction loans the monies needed. We are contributing the land and we will borrow the money as we build the buildings and that’s as far as we have gotten. We are a year out from having anything under construction.
John Fox: Okay, thank you very much.
Operator: Thank you. [Operator Instructions] Our next question will come from Robert Henderson, Rutabaga Capital Management.
Robert Henderson: Good afternoon. I have two questions. One, do you anticipate consolidating the Dock 79 development at some point since you are the majority holder of the joint venture? And then secondly, on Square 664E, the tenant is still there right? So that development is still probably at least 4 or 5 years out, is that correct?
David deVilliers: Probably closer to 10 years out with 664E. And the answer to your first question is, yes, but under the GAAP accounting rules and with our accountants, we won’t consolidate that until we have reached the lease up of the building. At which point in time, it would be contemplated that it would be consolidated on our financials.
Robert Henderson: Okay. So that could be within 2 years then from now?
David deVilliers: Yes, yes, yes.
Robert Henderson: Okay, alright. Thank you.
Operator: Thank you. Our next question will come from John Fox, Fenimore Asset Management.
John Fox: Yes, hi. Sorry, I had one other question. Can you talk about the reallocation of expenses that benefited mining and what was the reason for that and where the expenses went? Thank you.
David deVilliers: John, we did an analysis back at the end of last year, because our mining and royalty basically is a passive business that we collect the rents. And we looked at it and we are concerned that we were misrepresenting the actual cost that it took us to operate that segment. And so we did the reallocation at that time to more accurately depict, if you will the real returns from those aggregate properties and that’s all we have done. And again, we have tried to be transparent in how we have done that and what contribution the reallocation has made.
John Fox: Right. No, it’s very clear that it helped the results. So, thank you.
Operator: Thank you. [Operator Instructions] Well gentlemen, at this time, we have no further questions in the queue.
Tom Baker: Well, thank you all for your interest in the company. We look forward to speaking with you next quarter and updating you on our successes. Thank you.
Operator: Thank you very much for joining us today. This conference has now concluded. You may disconnect your phone lines and have a great rest of the week. Thank you.